Daniel B. Wolfe: Good morning and welcome to 180 Degree Capital Corp's Third Quarter 2017 Financial Results Call. This is Daniel Wolfe, President, Chief Financial Officer and Portfolio Manager of 180 Degree Capital. Kevin Rendino, our Chairman, Chief Executive Officer and Portfolio Manager, and I, would like to welcome you to our call this morning. All participants are currently in a listen-only mode. Following our prepared remarks, we will open the line to questions. [Operator Instructions] I would like to remind participants that this call is being recorded and that we will be referring to a slide deck that we have posted on our Investor Relations Web-site at ir.180degreecapital.com under Calendar of Events. Please turn to Slide 2 that contains our Safe Harbor statement. This presentation may contain statements of a forward-looking nature related to future events. Statements contained in this presentation that are forward-looking statements are intended to be made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to the inherent uncertainties in predicting future results and conditions. These statements reflect the Company's current beliefs and a number of important factors could cause actual results to differ materially from those expressed herein. Please see the Company's filings with the Securities and Exchange Commission for a more detailed discussion of the risks and uncertainties associated with the Company's business that could affect the Company's actual results. Except as otherwise required by federal securities laws, 180 Degree Capital undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. I would now like to turn the call over to Kevin.
Kevin M. Rendino: Good morning, and thank you, Daniel. I'll be coming to our slides. On Slide 3, to recap and to summarize our third quarter of 2017, the reason we're here or I should say the scoreboard we look towards as is our share price. Our stock climbed in the quarter from $1.62 to $1.74. Two, our NAV, our NAV advanced from $2.44 to $2.68 in the quarter, a nearly 10% increase. This quarter marked our third quarter in a row of NAV increases that first time that has happened in over seven years. We have talked about our desire to not only grow our NAV but to grow our cash plus liquid securities to a higher percentage of our total assets. This quarter, our cash and liquid investments moved from a total of $22.6 million at Q2, June end, to $30 million today or close to $1 per share. Finally, Daniel will chat about our investment in resources designed to aid our future growth. On Slide 4, as we said, our NAV climbed 10% in the quarter. This slide shows the source of change in net assets. Our public companies, led by Adesto, were up $0.25 per share or nearly 90% of a total investment gain for the quarter. Our private portfolio companies had a nearly $0.03 gain per share. On the expense side, we had $0.04 that hindered our performance, less than $0.02 in normal run rate expenses and a shade over $0.02 for our compensation pool accrual. Daniel will have more on that later. All in all, the quarter ended with a $2.68 NAV, or as I said a 10% increase. On Slide 5, this highlights an earlier comment I made. For the first time in over seven years, our NAV per share has increased in three consecutive quarters. We have a long way to go to get back to our NAV from years ago, but at least we're off to a good start. On Slide 6, this shows our historical stock price, the blue line, and our share price as a percentage of our NAV, or as we always say, the discount, that's the orange line. At quarter end, our share price traded at 65% of our NAV. This is up from an all-time low of 50% earlier in the year and right before our strategy change. The higher we drive cash plus liquid assets as a percentage of our total assets, the more we think our discount to NAV will narrow. More on some of the parts analysis in just a second. On Slide 7, this is a brief snapshot of our public holdings, the stock performance for the quarter and a quick note on each company. Adesto was up 73% in the quarter against the backdrop of a very strong Q2 and strong fiscal year 2017 guidance. USA Truck was up 62% in the quarter as the trucking industry has continued its recovery from a very poor 2015 and 2016. TheStreet was up 30% after its positive Q2 performance. Mersana was up 24%, as it participated in a very strong biotech rally. Our only problem child in the quarter was Synacor, which declined 26% after the company provided lower-than-expected fiscal year 2017 guidance due to an expectation that its new portal customer AT&T will have a slower ramp of revenues to impact Synacor's revenues. While we certainly weren't happy with the guidance that Synacor gave, our investment thesis appears to remain intact, that is, nearly $30 million of EBITDA and $300 million of revenue in 2019. Rest assured, if we felt our investment thesis was broken, we would have been sellers. In actuality, we added to the name on weakness. In total, our weighted performance for our public holdings in the quarter was 44%. Slide 8 shows year-to-date performance. We have added $12.4 million of gains on nearly 85.7% increase in performance from our public holdings. We know these types of returns aren't the norm. That said, we are confident our investment process will ultimately lead to above-average performance over an investment cycle. In just this year alone, Adesto has been a triple since our amended 13G filing in early January. We have doubled our money in USA Truck in less than six months. TheStreet and Mersana have performed well. The only one, as we said, has disappointed has been Synacor, and also Enumeral which was a tiny position heading into the year. We sold it in the quarter. It cost us $0.03 per share for the year and the position has been eliminated. As always, we are always on the hunt for the new Adestos and the new USA Trucks, can't live on this prior performance, always got to look forward. Slide 9 is my favorite chart, for some particular reason, or table I should say. Based on our closing price as of September 30, 2017 and taking into consideration our cash and liquid securities and also adding, or in this case subtracting, our working capital, our total non-private portfolio net asset per share is $0.90 a share for basically our cash and liquid securities. That means at quarter end, the remaining per share value ascribed to the private portfolio was $0.84, given our stock closed at $1.74. Our marks on our private portfolio say that those companies should be valued at $1.78 per share. Effectively, the market is saying, our private portfolio is worth less than $0.50 on the dollar. In actuality and relative to last quarter, even though our stock is up, our NAV is actually up more than our stock and our cash and liquid securities are up more than our stock and our NAV, the market is actually ascribing a lower value to our private portfolio at Q3 end than was the case at Q2. Slide 10, a quick snapshot of our most mature private portfolio companies. As you can see, just these four names alone have a greater value on our balance sheet than the Street effectively ascribes to the value of our entire private portfolio. As always, some of our portfolios will do well, private portfolio companies will do well and some will not fare as well. In general terms, we think that we'll be able to generate good returns from our private portfolio. Slides 11 and 12 before I turn it over Daniel, to touch on our compensation framework, the objective of the Company's compensation program are to; one, align the interest of shareholders and employees; two, motivate and retain employees by providing market competitive total compensation; and three, attract talented new employees in a competitive market. In deriving total compensation, the compensation committee of our Board has considered metrics that include, but are not limited to, a comparison change in our stock price, changes in our net asset value, changes in levels of our cash and liquid securities, change in the value of our liquid securities, expenses, progress raising third-party capital, and individual contributions to the Company. Our goal is to reward not just annual performance but as we like to call it at 180, persistent performance. That means, we will be putting in place deferrals of comp and we will also be using the use of high watermarks in establishing compensation on a go forward basis. The bottom line, and I've been very direct on this topic with all of you, if all of us as shareholders make money, then you can expect employees to make money. If we don't make money, there will be no end-of-year compensation pool. It's as simple as that. Many of you know, our management team are top 10 shareholders. We care about what you care about. Daniel?
Daniel B. Wolfe: Thank you, Kevin. Please turn to Slide 13. As we have discussed in prior calls, we have greatly reduced our operating expenses, which will make it far easier to grow NAV than in years past. Over the last five years, our operating expenses, excluding stock-based compensation and interest on outstanding debt, averaged approximately $1.6 million per quarter. In 2016, our operating expenses averaged $1.3 million per quarter. In the first quarter of this year, our operating expenses, excluding a non-cash benefit for forfeited restricted stock, were approximately $1.05 million. In the second quarter of this year, these expenses net of sublease income were $735,000. In the third quarter, these expenses were $585,000. Put another way, we have significantly reduced our run rate from approximately 7.3% of net assets in 2016 to a run rate of less than 4% of net assets as of the end of this quarter. It is much easier for us to grow NAV when the expense hurdle rate is where it is today. We aim to decrease the expense ratio further, however these decreases will likely come from an increase in net assets rather than from further reductions in operating expenses. Please turn to Slide 14. As Kevin discussed previously, the compensation committee has established a framework for year-end compensation that we believe closely aligns the interests of shareholders and management. As of September 30, 2017, our net asset value per share reflects an accrual of approximately 816,000 for a year-end compensation pool for management. This accrual reflects the compensation committee's current assessment of individual and corporate performance year-to-date. Additionally, the accrual reflects a portion of the estimated pool that would be paid out over the subsequent two years for persistent performance rather than the total pool being paid out to management at the end of the year. I caution that this accrual may change materially at the end of the year when full-year information is available to the compensation committee. We would especially like to note that should the committee ultimately decide to maintain the current accrued pool at year-end, total compensation would be approximately 3.15% of net assets. This percentage is 0.15% less than the comparable percentage of 3.3% in 2016 when as you can see on this slide our NAV and stock price declined materially versus substantial increases in 2017. Please turn to Slide 15. In prior communications with shareholders, we also discussed strategic initiatives around managing third-party capital. We have two updates on this front. First, we are pursuing a broker-dealer license to expand our ability to raise capital for special purpose vehicles and other managed funds. The successive efforts to raise capital are often related directly to the people who have extensive networks of potential investors. The broker-dealer license will enable us to hire and compensate appropriately the individuals involved in raising such capital. While we are currently focused on raising capital for 180 to manage, having a broker-dealer license will also enable us to raise capital for other entities, including our portfolio companies, and to generate income for 180 from such efforts. To that end, in October of 2017, we hired Robert E. Bigelow III as Vice President, Head of Fund Development. Rob graduated from Yale in 1990 and went on to become the founder of Blue River Asset Management, a $1.7 billion municipal bond fund. Rob was responsible for raising a substantial amount of this capital. We believe his relationship should aid us as we embark on similar efforts. I will now turn the call back over to Kevin.
Kevin M. Rendino: Thanks Daniel. Last quarter we talked about how 180's path to success would be a marathon and not a sprint. We can't hide from the pleasant fact that in actuality this quarter was a sprint. We hope to be able to replicate it going forward but are sober and humble enough to know that these quarters aren't the norm. At least we showed, if we execute at a high level, what is possible for 180 Degree Capital going forward. We thank you for your support and patience. I'll turn it back to Daniel who will open it up for questions on either our portfolio or other strategic things that are on your mind. Daniel?
A - Daniel B. Wolfe: Thank you, Kevin. [Operator Instructions] Our first question comes from Adam Waldo. Please go ahead, Adam.
Adam Waldo: Adam Waldo, Lismore Partners LLC in Chicago. Fabulous quarter, Kevin and Daniel, and thanks again for the very comprehensive disclosures in your quarterly letter and presentation 10-Q. I wonder if we can talk a little bit more about something Daniel highlighted towards the end of his remarks, which is, the plans for the broker-dealer license. You talked about obviously the fund management side, but you also talked about potentially raising capital for portfolio companies or undertaking other what I'll call sell-side activities. And I wonder if you can expand a little bit more on how that business may be growing in the future in terms of more specific to online the business and management of that activity stream.
Daniel B. Wolfe: So I think we're really focused right now on building 180. The nice thing about the broker-dealer license is it gives us that flexibility into the future. We haven't really spent time on thinking about if we're going to build that out to be able to raise capital for other companies. There are opportunities that come up, obviously Rob has a number of contacts that we could leverage as our portfolio companies need capital, but right now we're really focused on the capital for 180 and our efforts.
Kevin M. Rendino: So let me say a couple of things around that. The broker-dealer license is put in place so that we can actually effectively pay folks that actually help us raise capital. If you don't have the broker-dealer license, you really can't do that. And son to attract talented individuals who can help raise capital, you really want to have that broker-dealer license in place. The other thing I'd say is, we are working on a number of interesting opportunities which may or may not come to fruition between now and the end of the year, even into the first quarter, but we're working really hard to show the Street that these third-party opportunities are available to us. It's just a matter of getting some of them across the finish line and making sure that we were able to raise the capital for those opportunities. So we hope to be able to talk about more of this in quarters to come. At least we've put in place a framework by which we can get that done. I would say, six months ago we didn't have the appropriate resources in-house to do that.
Adam Waldo: Right, thank you very much.
Daniel B. Wolfe: Please go ahead.
Unidentified Analyst: [Indiscernible] from Delta Investment Group. Another question regarding the BD is that you guys obviously went through a change to a closed-end fund from a business development corp. to reduce your expenses and all the required reporting, yada-yada-yada, BD makes having a BD license essentially, puts that on and probably triples your paperwork, you're going to have to file specially if you're just sitting there parked, what sort of money you guys can be putting into obviously getting this BD up and going and what do you expect to be the cost of having it sitting around and essentially having all the reporting and regulatory issues that it entails?
Daniel B. Wolfe: That's a great question. So, the nice thing about where we stand right now is, we're actually a fairly heavily regulated entity anyways, and so, many of the processes and procedures that a de novo broker-dealer would need to put in place, we already have. So we get to leverage the existing infrastructure to be able to handle it. The other is, is there is a really deep industry, cottage industry of being able to provide compliance and filing and other aspects of managing the broker-dealer for relatively low cost. So, we don't anticipate this to be material amount. I mean it's going to be probably – to run this business, from a compliance perspective, it's probably in aggregate an addition of about $50,000 to $75,000 a year. It's really minimal in terms of the regulatory and filings and everything like that.
Kevin M. Rendino: I'd say, also we have reduced our expenses. We basically reduced our expenses by 40% overnight. I have always said and I've said in prior calls and in private meetings with investors that at some point we're going to have to make investments in our business if we truly want to grow. You can't just cut your way to prosperity forever. If we want to have someone help us with investments, then we may want to hire an investment analyst, somebody who can help us model, do Excel spreadsheets. They are asking me, do you want to bring an MBA or an analyst? So whatever, that costs money. Any investment that we make is specifically designed to grow the business. If we didn't think we can grow the third-party business, we wouldn't go after a broker-dealer license. If we can't grow the third-party business, we'll get rid of the broker-dealer license. The reason why we got the broker-dealer license in place is because we think there is a path towards doing some of these whether they are SPVs or other entities or just money into the fund itself, we think the opportunity exists and that's why we went down that road, as Daniel said, at minimal cost.
Unidentified Analyst: All right. Thank you.
Daniel B. Wolfe: Please go ahead.
Unidentified Analyst: This is [Al Shams] [ph]. First of all, congrats on a good quarter. Real quickly on the broker-dealer, I was a former regulator with NASD, the fact that we're not holding customer securities and probably are unlikely to be trading or holding inventory of stocks, is going to really minimize your compliance requirements. So that should give people some comfort. The question I want to pose to you is this. So all the additional activities, we're going to get involved at the broker-dealer, raising additional capital, managing other pools of capital, all of that will fall within 180 Degree Capital, correct? There won't be any other side entities where those revenues and those income streams go to somebody else? Everything is going to be done within 180, correct?
Kevin M. Rendino: Yes, Al. When I was at BlackRock, I ran a fund called the Basic Value Fund. By definition, it was a very simple [indiscernible] value-oriented fund. We are not going to be doing anything esoteric at 180, not now, not as long as I am here. And all funds that we raise will be designed that they will cash flow up to 180, to the parent company, so that all shareholders can share in those revenues and income streams.
Unidentified Analyst: Okay. And Kevin, you and Daniel, you are 100% committed to the fund, you've got no other side businesses that you're involved in related to the securities business or the investment management business, is that correct?
Kevin M. Rendino: No, that's all we do.
Unidentified Analyst: Okay, good.
Daniel B. Wolfe: Live and breathe it.
Unidentified Analyst: Okay, great. With respect to D-Wave, there was an article in this latest week's [indiscernible] talking about quantum computers, there was no mention of D-Wave, and I had always thought that D-Wave was really on the forefront of what's going on in quantum computers. Could you talk to that point please?
Kevin M. Rendino: I'll let Daniel say, but I can also show you nine other articles that mentioned D-Wave, that may not mention IBM Watson or the others. So I'm not actually sure. I have to go back and look at the [indiscernible] article to see what you are referencing, but Daniel may want to chat about that.
Daniel B. Wolfe: Yes, I mean I think the key is, it really depends on what they are focusing on, and there are a number of groups that are working on various aspects of quantum computing and are at various stages of development. D-Wave is the only company that has a commercial quantum computer available and actually has sold it and has customers that are using it on a day-to-day basis, both on-site where they have bought one but also through cloud-based access. So, [indiscernible] has just signed up to be able to use the system on a remote basis, sort of like Amazon Web Services, and I think that's honestly where growth comes in. It really just comes down to the reporter and what the tone and the focus of the article is. I wouldn't read anything else into it.
Unidentified Analyst: Okay.
Kevin M. Rendino: By the way, again I'm sorry, I just want to say, we realize that every day that goes on, there is another company, whether it's Amazon, Google or Microsoft or IBM or whoever, everyone is trying to leapfrog the next person. We have told D-Wave, this company has been around for a long period of time, I think it was started in 1999, at some point we need to monetize. I mean, this is not – I don't suspect I'm going to be sitting here in 10 years still talking about D-Wave's hopeful monetization on the come. Our hope and desire, and we share that with their management team, is, look, you got an incredible product, there is a significant wave going on in terms of investment in AI, why don't you think about the endgame? Whether they do that or not, we'll see, but at least those conversations are taking place today.
Unidentified Analyst: Okay, great. That's very appropriate. Lastly, Kevin, it's my sense that small-cap and microcap have dramatically, small-cap and microcap value have dramatically underperformed over the last three to four years. Do you share that sentiment and do you think we could well be at an inflection point where we see better days in that sector?
Kevin M. Rendino: I think that at the end of the day, Al, it's been a – the market has become one giant ETF filled with bank stocks, whether they are Facebook and Amazon and Google, Netflix, you name it, that the action in the marketplace and the passive nature which the market has directed itself in terms of fund flows has made investments in the most large, the biggest market cap companies significantly greater, and the valuation gap between those and companies that we're dealing with, the valuation gap has never been wider. Many of the companies that we're looking at are orphaned, nobody cares about them, they are not in indices, they are not in ETFs, some of them don't even have options trading to them. Look, Al, at the end of the day, I'm not here to tell you this Facebook is a sale or that Google is a sale or that any of that is going to change overnight. What I could tell you is that the opportunities that we see in the microcap area, we are looking at names that literally have 100% upside. Maybe there is 100% upside in Google from here or Amazon in here, I don't know the answer, but at least I know what we're looking at. Even though the market is 24,000, there is a lot of value in the microcap space.
Unidentified Analyst: Yes, I agree.
Kevin M. Rendino: How those stocks trade in a market meltdown, you know if the economy goes south and everyone starts pulling money out of ETFs and you get a selling frenzy, due to the illiquidity component of the microcap, just because the stocks are cheap doesn't necessarily mean they are not going to go down in some sort of exit. A fire in a movie theater and everyone's trying to run out the door at the same time. We recognize that but in terms of valuation we still think there's a lot of value in many of these names.
Unidentified Analyst: Okay, great. Okay, good luck and we'll talk again.
Daniel B. Wolfe: Thanks, Al. Sam, please go ahead.
Unidentified Analyst: Sure. Good morning, Kevin and Daniel. Kevin, you've done better than anybody would have expected, and apropos of Mr. [indiscernible] in your letter of Merrill Lynch, I'm going to try not to give you a Jewish word, kneina hura, but you will continue what you're doing. Number two, relative to Al's comment on D-Wave, the article was in last Saturday's Wall Street Journal, The Computer That Could Rule the World. It was written by Mr. Hermann of Potsdam Institute. And I spoke to Vern and he was very positive on what he expects to be doing. So that's just a piece of information. My question for you is, your book value is 268. If we added the tax loss, the capital loss carryforward and the NOL carryforward and you made the profits from this, would we get $3 a share? Do you have some kind of estimate what the number would be if we achieved all our markers to record gains and add to our book value?
Daniel B. Wolfe: So what I can tell you, Sam, along the lines of NOLs and capital loss carryforwards, we got about $20 million in capital loss carryforwards and about $65 million in NOLs that we can use to offset gains and shelter against taxes. So, obviously depending on what the tax rate ends up being at the time those gains are realized, there is definitely substantial opportunity to shelter gains from taxes.
Kevin M. Rendino: Yes, I like being able to sit on potential future gains and not paying any tax on them. And unfortunately, I get it, the unfortunate part is they are NOLs and they were losses in the past, the fortunate part is we get to use them going forward.
Unidentified Analyst: Okay, that's good. Now as far as the raising of the funds, do we have a range of what we might be able to raise or what our benchmarks might be, where we want to go, or does it depend on what the market will bear once everything is in place?
Kevin M. Rendino: So here's what I'd say about fund-raising. Some of the lessons learned from talking to a significant amount of folks, and whether they are fund people or private wealth offices, family offices and the rest, even though I ran money at BlackRock for 20 years, I'm at 180 for basically six to nine months, you really can't port your track record. I mean people can know who you are and they can certainly be willing to give you money to manage, but you certainly want to establish your track record. Now I will say, by the end of this year, if the year ended today, I can say our track record in what we are going to be doing, i.e., investing in public companies, is absurdly good, let's put it that way. I mean, on average our stocks are up 86% this year, that's pretty good one year performance. So, we'll be able to continue to talk to people about what it is that we've been doing and the track record that we have built. I guess it depends upon whether or not we're looking for money to invest in all of our portfolio or if we're going to be investing in certain positions. If there are certain positions, i.e., raising money for the specific purpose of investing in one company, the money will be less. Of course we're certainly going to be open towards anybody that wants to give us capital to invest in our fund itself. And so, it really does depend upon how the investing world wants to invest in us. Do they want our whole fund or do they want our one or two best ideas. We're actually pursuing both opportunities. We think the fund side will take longer to materialize. People are going to want to see how you're doing, how is the turnaround going, let me see your performance in these small microcap names. We think on the individual side, because those are stories themselves, we think there is a better ability to get that capital faster than if people are just investing in the total fund. Does that help answer your question, Sam?
Unidentified Analyst: Yes, that sounds very good. One further question, the company that [Doug Jamieson] [ph] is running and putting together that we have almost $4 million involved, is there any update on that, what our plan is? I think we are supposed to make a decision by December 31.
Kevin M. Rendino: So by the way, we are meeting with Doug this afternoon, early afternoon, in his office as to go through what's happening in his shop. And Dan, what do you want to add to that?
Daniel B. Wolfe: Yes, I mean what I would say is that he is continuing to build his company. There are some interesting opportunities he is looking at in terms of bringing personalization and data to understanding particularly in the athletic space where this health information can be useful for optimizing performance. And it's still early stage but he's got some interesting opportunities that he is pursuing and we're continuing to follow it, and if he raises some capital where we've said we'll [grow] [ph], we'll put some additional capital in, and we've disclosed in our financial statements that if he raises some capital, we'll put up to another $1 million into it. But as of right now, things are trending positively, but it is a renovate-stage company.
Kevin M. Rendino: We could always give you an update after our meeting with Doug. So, if you care, you know where to find us.
Unidentified Analyst: Right. Great. Thank you. You've been doing a wonderful job and I think you'll get some respect finally.
Kevin M. Rendino: I appreciate the lack of handshake and the kneina hura. That means a world to me, Sam.
Daniel B. Wolfe: I see no further questions in the queue at this time.
Kevin M. Rendino: So with that, look, thank you so much. I know shareholders have been patient owning Harris & Harris and then 180. We're fortunate to be able to put up the quarter that we did. We recognize these quarters don't come along every quarter, so let's not annualize them, but we are working very hard towards growing our NAV this quarter and in ensuing quarters. That is the goal. We feel like if we can grow our NAV and we can grow our cash and liquid securities, then that stock price will narrow its discount to our NAV. And of course if that happens and if we grow our NAV, hopefully our share price will follow, which as all of you know is the only reason why we are here. Thank you very much. We look forward to talking to you about our results in Q4. Have a good day.
Daniel B. Wolfe: Thank you.